Operator: Good day, and thank you for standing by. Welcome to the Summit Midstream Corporation Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker for today, Randall Burton. Please go ahead.
Randall Burton: Thanks, operator, and good morning, everyone. If you don't already have a copy of our earnings release, please visit our website at summitmidstream.com, where you'll find it on the homepage, Events and Presentations section or Quarterly Results section. With me today to discuss our second quarter of 2025 financial and operating results is Heath Deneke, our President, Chief Executive Officer and Chairman; Bill Mault, our Chief Financial Officer, along with other members of our senior management team. Before we start, I'd like to remind you that our discussion today may contain forward-looking statements. These statements may include, but are not limited to, our estimates of future volumes, operating expenses and capital expenditures. They may also include statements concerning anticipated cash flow, liquidity, business strategy and other plans and objectives for future operations. Although we believe that the expectations reflected in such forward-looking statements are reasonable, we can provide no assurance that such expectations will prove to be correct. Please see SMC's annual report on Form 10-K for the fiscal year ended December 31, 2024, which the company filed with the SEC on March 11, 2025, as well as our other SEC filings for a listing of factors that can cause actual results to differ materially from expected results. Please also note that on this call, we use the terms EBITDA, adjusted EBITDA, distributable cash flow and free cash flow. These are non-GAAP financial measures, and we have provided reconciliations to the most directly comparable GAAP measures in our most recent earnings release. And with that, I'll turn the call over to Heath.
J. Heath Deneke: Thanks, Randall, and good morning, everyone. Thanks for joining us on the call today. So it's been an active first half of the year as we continue to see strong development activity behind our footprint as highlighted by roughly 47 new well connections and continued development from our customer base. We currently have 3 active drilling rigs behind our systems with the fourth expected to come online in the Arkoma later this month. We reported second quarter adjusted EBITDA of $61 million, which came in slightly below expectations, primarily due to initial underperformance of some wells in the DJ, delays in timing of certain well completions and lower realized commodity prices in the DJ as well. As we mentioned in our first quarter earnings call, we had some customers defer development given the drop in crude prices earlier this year. And while those prices have rebounded from their -- from the lows earlier in the quarter, these customers have continued to hold to that deferred timing. So as a result, we expect to end the year towards the low end of our adjusted -- our original adjusted EBITDA guidance range. The good news, however, is that the total well count for the year remains roughly the same and in line with our original expectations. So we should see volumes recover as we move into 2026. On the commercial front, we executed a new 10-year extension of certain gathering agreements with a key customer in the Williston, which significantly increasing -- or increases our weighted average contract life from 4 to 8 years, and further demonstrates the durability of our business and the long-term value our assets provided to the customers. As part of this extension, we agreed to offer some rate relief in a particular area with significant remaining inventory, which improves our customer's drilling economics and further incentivizes them to drill the inventory. We also picked up additional acreage -- an additional acreage package in close proximity to our existing system, expanding our overall inventory in the basin. In the Arkoma, our anchor customer is preparing to kick off a 20-well development program, with completions expected to begin in the fourth quarter and continue through mid-2026. This won't have a big impact on 2025 earnings, but these new wells will represent a sizable volume catalyst for our system in '26, and will also provide some additional insight into a pretty exciting dry gas development opportunity adjacent to our existing footprint. The rig should show up in the third quarter, and we will keep you all updated on how things are progressing. And then in the Permian, I'm happy to share that we have signed a new 10-year precedent agreement for 100 million a day of firm capacity on Double E, which is tied to an expansion of a processing plant in Lea County, New Mexico. The agreement is contingent on the customer's final investment decision to build a new plant, but they are well underway with permitting and have already -- and already have the plant and equipment in inventory. We are currently expecting that Q4 of 2026 in service date for this new connection. And this is a great step forward to fill up the remaining unsubscribed capacity on Double E and the associated planned lateral extends the Double E system to additional nearby processing plants in Lea County that could be connected in the future. And finally, on the IR front, we are pleased to be added to the RussellÂ 3000, the RussellÂ 2000 and the RussellÂ Microcap indices during the June reconstitution. This is a milestone that reflects the progress we've made over the past several years to strengthen the business, convert to a corporation and broaden our exposure in the public equity markets. We believe this inclusion will enhance our visibility among institutional investors, increase passive investment, improve liquidity in our stock and broaden our overall shareholder base over time. With that, I'll turn the call over to Bill to walk through the financial and segment level results in more detail.
William J. Mault: Thanks, Heath, and good morning, everyone. Summit reported second quarter adjusted EBITDA of $61.1 million and capital expenditures of $26.4 million, including approximately $5.5 million of maintenance CapEx, with the majority of growth CapEx spent in the Rockies and Mid-Con regions on pad connections and compressor relocations from the Piceance to the Arkoma. As we mentioned previously, we identified an attractive project to move owned latent compression from the Piceance and DJ Basins to the Arkoma to replace leased units, and we kicked off that project in the second quarter. We expect to have all the units in service by year- end and anticipate an increase in EBITDA margin beginning in the first quarter of 2026 as a result. With respect to SMC's balance sheet, we had net debt of approximately $944 million, and our available borrowing capacity at the end of the quarter totaled $359 million, which included $1 million of undrawn letters of credit. Now turning to the segments. The Rockies segment, which includes our DJ and Williston Basin systems, generated adjusted EBITDA of $25.2 million, an increase of $0.4 million from the first quarter, primarily due to a 5.4% increase in liquids volume throughput and a 14% increase in natural gas volume throughput following the acquisition of the Moonrise Midstream business on March 10, 2025. This volume growth was partially offset by a reduction in realized commodity prices, lower margin mix and increased operating expenses in the DJ Basin, primarily due to timing of spend and onetime items. Relative to the first quarter, realized residue gas prices decreased approximately 40%, realized NGL prices decreased approximately 10% and realized condensate prices decreased approximately 15%. These price changes had an estimated adjusted EBITDA impact of approximately $2 million relative to the first quarter. Volumes on Summit's legacy DJ Basin system, excluding incremental volumes from the Moonrise acquisition, were flat quarter-over- quarter. However, margin mix declined due to higher volume contribution from lower margin contracts, resulting in an estimated $1 million adjusted EBITDA impact. Additionally, segment operating and general and administrative expenses increased by approximately $4.5 million relative to the first quarter. This was partly due to the acquisition of Moonrise Midstream, but also included approximately $1 million of timing-related items and onetime costs, which we would expect to claw back here in the second half of the year. Operationally, we remained active during the quarter connecting 38 new wells, and there are currently 2 rigs running and approximately 85 DUCs behind the systems. The Permian Basin segment, which includes our 70% interest in the Double E Pipeline, reported adjusted EBITDA of $8.3 million, a slight increase relative to the first quarter, primarily due to higher volume throughput. Double E averaged 682 million cubic feet per day of throughput during the second quarter. The Piceance segment recorded adjusted EBITDA of $10.5 million, a decrease of $1.3 million relative to the first quarter, primarily due to higher operating expenses and a 1.1% decrease in volume throughput. The Mid-Con segment reported adjusted EBITDA of $24.9 million, an increase of $2.4 million compared to the first quarter, primarily due to a 2.9% increase in volume throughput and higher natural gas sales. The throughput increase was driven by 3 new wells in the Arkoma and 6 in the Barnett, partially offset by natural production declines. In July, we connected 6 new wells in the Arkoma and 4 new wells in the Barnett, which had been held in DUC inventory since 2023. We continue to see strong well results in the Mid-Con, exceeding our internal expectations. And as Heath already mentioned, we're extremely excited about the incremental development expected in the Arkoma later this year and into 2026. There is currently 1 rig running in the Barnett with another expected in the Arkoma later in the third quarter and 17 DUCs behind the system. And with that, I'll turn the call back over to Heath for closing remarks.
J. Heath Deneke: Thanks, Bill. So look, in closing, while we expect to end the year towards the low end of our original adjusted EBITDA guidance range, we see this as primarily timing related, and we remain very optimistic about the outlook for the company. Our development activity across our footprint remains strong, and we're excited about the commercial progress we're making in the Rockies, the Double E and Mid-Con segments. I remain confident in the underlying fundamentals of our operations, the strength of our asset base and the continued organic and M&A growth opportunities ahead. So with that, operator, I'd like to open up the call for questions.
Operator: [Operator Instructions] And at this time, I'm not seeing any questions in the queue. So that does conclude today's conference call. Thank you so much for joining. You may all disconnect.